Julia Vater Fernandez: Hello, everyone, and welcome to VTEX's Earnings Conference Call for the second quarter of 2025. I'm Julia Vater Fernández, VP of Investor Relations. Joining me today are Geraldo Thomaz Júnior., our Founder and Co-CEO; and Ricardo Camatta Sodré, our Chief Financial Officer. Also joining us for the Q&A session are Mariano Gomide de Faria, Founder and Co-CEO; and Andre Spolidoro, Chief Strategy Officer. Before we begin, please note that today's remarks may include forward-looking statements. These statements are based on our current assumptions and projections, and actual results may differ. Additional information regarding risks and uncertainties is detailed in our Form 20-F for the year ended December 31, 2024, and other filings with the SEC, all of which are available on our Investor Relations website. During this call, we may also reference certain non-GAAP financial measures. Reconciliations to the most comparable GAAP figures can be found in our Q2 2025 earnings press release also available on our Investor Relations website. With that, let me turn the call over to Geraldo. Geraldo, the floor is yours.
Geraldo do Carmo Thomaz: Thank you, Julia. Welcome, everyone, and thanks for joining our second quarter 2025 earnings conference call. VTEX continued to deliver resilient performance driven by disciplined execution and relevant progress on our global expansion. Despite the challenging market for our retailer base in Brazil and Argentina and more gradual overall market demand from new customers migrations, our AI initiatives on support cost efficiency, combined with our disciplined execution, delivered a quarter of resilient operational profitability. As a result, we have raised our non-GAAP income from operations and free cash flow guidance by over 10%. On the global expansion front, we're excited to highlight key developments this quarter, including the expansion of our partnership with Whirlpool in the U.S. for the launch of the KitchenAid website and the addition of the new enterprise customers across both the U.S. and Europe. It is encouraging to see the U.S. and Europe, large and attractive markets, growing twice as fast as the overall company. Turning to subscription revenue. We recorded $57.2 million, representing 11% year-over-year increase in FX neutral. That's within our guidance in U.S. dollars, but below on an FX-neutral basis. From a GMV perspective, this performance was primarily impacted by Argentina, where the early signs of recovery seen in the first quarter did not continue with the second quarter reflecting a reversal on that trend. Additionally, we observed a mix shift in Brazil. New and large customers that have a lower implied take rate demonstrated greater resilience amid the high-interest-rate environment. While this shift has an overweight impact on GMV growth, it translated into a more modest contribution to revenue. Despite a challenging market, the continued resilience and scalability of our business model enabled us to maintain strong financial discipline and operational leverage. Our gross profit reached $45.3 million, up 15.2% in FX neutral, representing a 3.5 percentage points margin increase year-over-year. Our non-GAAP income from operations increased by 46% in FX neutral to $8.5 million, representing a 14.4% margin and a 3.3% point margin increase versus the same quarter of last year. This resilient operational profitability and stable churn levels give us the confidence and capacity to double down on strategic initiatives that will fuel our next phase of growth. We are actively investing in B2B commerce and retail media to high-potential underpenetrated areas that are already unlocking new revenue streams and reinforcing our position as a key partner to enterprise brands. Combined with the progress of our global expansion, these initiatives form a powerful engine for scalable value creation. Together, they reflect a disciplined growth strategy that positions VTEX to capture significant upside in the years ahead. Moving to our commercial and product update for the quarter. In Q2, we successfully brought several new customers live, includingAlo Yoga, Amigão Supermercados, Drogaleste, and Lindt in Brazil, ShopAZ in Kosovo, Fraiche in Mexico, Cash Piscines in France, Delta House in Portugal, Road Runner Sports, and American Water Resources in the U.S. We also strengthened relationship with key existing customers. Hinode Group added a B2B store in Colombia, now running B2B and B2C models across 4 countries in Latin America. Keune continued to expand its B2B presence across Europe, adding Sweden and Norway to its Germany, Belgium, France, Netherlands, and U.K. operations. LG launched a new store in Ecuador, expanding its presence across Latin America. Veste launched Estoque in Brazil, their multi-brand outlet that offers discounted items from across the group's premium fashion labels, expanding its portfolio of VTEX stores that already includes Le Lis, Bo.bô, John John, Dudalina, and Individual. Whirlpool launched KitchenAid in the U.S., marking its first U.S. store launch with VTEX while continuing our global relationship in over 20 countries. This recent go-lives highlight the global competitiveness of our platform as we deepen adoption with existing customers, attract new ones, and expand our network of partners. This was clear on display at VTEX Day 2025, where 25,000 participants experienced how our ecosystem is coming together to power real-world commerce across B2B, B2C, and hybrid models. Building on that energy, we're now set to launch the latest addition of VTEX Vision, our digital initiative designed to provide visibility into our product road map and demonstrate how our innovation priorities are directly aligned with customers' needs. Together, these 2 initiatives reflect meaningful progress across 4 strategic pillars: B2B commerce, retail media, omnichannel, and agentic commerce. First, B2B commerce remains one of our top strategic priorities. We are introducing a newly re-architected B2B buyer portal designed to solve for the complexity of corporate purchase. It includes embedded tools for governance such as multilevel organizational management, budgeting controls, and approval-based workflows, alongside native punchout integration to connect seamlessly with external procurement system. These innovations allow large organizations to scale purchasing through efficient self-service experience while maintaining compliance and overall oversight. Second, retail media is emerging as a transformative force in digital commerce, and we are positioning VTEX Ads as a fully integrated monetization engine. As retailers seek new profit levers and advertisers demand measurable outcomes, our platform is introducing features such as video ad formats, off-site traffic integrations, and in-store media activations. We are also entering a strategic partnership with Globo, integrating VTEX Ads with Brazil's largest media network to enable high-impact campaigns. These advancements elevate VTEX beyond commerce infrastructure to become the operating system for retail media monetization. Third, omnichannel commerce, which remains a cornerstone for our product strategy, as enterprise needs to unify digital and physical experiences. We are introducing AI-powered semantic search and product recommendations designed to increase conversion through contextual intent-based discovery. New in-store innovations such as Tap on Phone transform mobile device into secure payment terminals for assisted selling. Additionally, the delivery promise feature enables shoppers to view fulfillment options filtered by speed, location, and method directly from the search of product detail page. These capabilities reinforce our commitment to delivering seamless personalized commerce experiences at scale. Last but not least, agentic commerce is redefining operational agility for our customers. We're introducing AI agents that automate core workflows, reduce complexity, and accelerate time to value. This include a customer service agent powered by Weni capable of resolving inquiries across channels like WhatsApp, Instagram, and e-mail, a visual editor agent that empowers nontechnical teams to modify storefronts in real time without code, and a data insights agent that surface real-time business intelligence through natural language queries. With these capabilities embedded into the VTEX platform, we are enabling enterprise customers to scale with precision and unlock new efficiencies through intelligent automation. These highlights are just a glimpse of the powerful innovations we're bringing to the market. To discover the full breadth of product releases and strategic advancements, we invite you to stay tuned for the upcoming addition of VTEX Vision. But innovation for us is never an end in itself. Every product we build, every capability we introduce is guided by a single objective, delivering extraordinary outcomes for our customers. Now let's take a look on how this vision translates into measurable impact on the ground for customer success stories that reflects real value for our platform. Whirlpool launched a KitchenAid commerce site in the U.S., marking the customers' first VTEX implementation in the market. More than a platform migration, Whirlpool's launch of KitchenAid in the U.S. marked a strategic shift to a modular, scalable commerce architecture. The headless site integrates with 4 distribution centers for nationwide fulfillment and connects seamlessly to ERP, PIN, CRM, and pricing system via a robust middleware layer. The checkout experience is also fully headless, supporting multiple payment methods, including credit card, PayPal, and buy now, pay later solutions. The platform also enables enhanced customer experiences such as headless log-in, product personalization through engraving, gift wrapping options, and a range of warranty plans, all natively support within VTEX. With the rollout, KitchenAid's improved its site performance and reduced development overhead while establishing a standardized architecture that is already accelerating future deployments over in other markets. The Delta House, Portugal's most iconic coffee brand, marks the brand's first venture into commerce with a greenfield project powered by VTEX. More than just an online coffee store, Delta House offers a curated selection of products across categories like wine, beers, water, soft drinks, and snacks, delivering an experience that captures the quality, warmth, and heritage of the Delta brand. VTEX was selected for its flexibility in designing personalized user journeys, its support for multiple payment methods, and its native features such as pickup points, allowing the brands to engage customers in new interactive ways. One of the key differentiators of VTEX's unified admin, which enables Delta's team to manage logistics, payments, marketing, and customer service from a single integrated environment, with a future-ready architecture and a seamless shopping experience, the Delta House brings the Delta Cafés spirit online, connecting tradition and innovation while laying a solid foundation for digital growth. Road Runner Sports, a leading U.S. specialty retailer operating since 1983, modernized its e-commerce operation by migrating from a legacy platform to VTEX, adopting a headless API-first architecture built to unify digital and physical channels. Rather than replatforming all at once, the company opted for a phased migration strategy, first, moving its e-commerce engine to VTEX and now progressive adopting native capabilities. The new architecture features a fully decoupled front-end integrated with third-party services, while VTEX manages core commerce functions like catalog pricing and promotion. This implementation unlocked faster innovation and efficiency for Road Runner Sports, turning a complex tech stack into a scalable, streamlined, and future-proof operation. Espaço Smart, a leading provider of industrialized and construction systems in Brazil, expanded its digital capabilities with the launch of a B2B commerce channel powered by VTEX. After identifying that a large share of enterprise customers were using its B2C site, the company built a tailored experience for professional buyers such as contractors, installers, and distributors. Leveraging the VTEX B2B suite, the new channel offers features like customer segmentation, personalized pricing, quick reordering, and digital quotation requests. all designed to reduce negotiation time and increase purchase frequency. By assigning customer commercial terms during the client onboarding, Espaço Smart eliminated repetitive negotiations while enabling recurring order with greater speed and confidence. The operation is fully integrated with company's ERP, ensuring control over pricing, taxes, and inventory while also supporting omnichannel coordination with its 43 physical stores. With 60% of its product portfolio manufactured in-house, the company delivers both efficiency and reliability to its B2B clients. This new channel not only improves operational agility and customer insights but also advances Espaço Smart's mission to make modern, sustainable construction more accessible and scalable. Retail Media is another area where we've seen meaningful evolution. VTEX Ads delivers value across the full ecosystem, both for publishers and advertisers. Two standout examples. Bemol, a leading Brazilian retailer, leveraging VTEX Ads to monetize its digital storefront, and Reckitt, a global consumer goods company driving performance through target retail media activations. Bemol Ads is transforming the mall e-commerce operation into a powerful monetization engine. And its largest campaign, they activated sponsored products, dynamic banners, and more advertising formats, generating over BRL 1 million in incremental sales and achieving an outstanding ROAS above 40x. Success came from precise targeting, dynamic CPC management, and strong collaboration fueled by regional demand insights and real-time optimization. Reckitt chose VTEX Ads network to scale its retail media strategy, achieving a breakthrough in performance and media efficiency, particularly within the complex pharmaceutical channel. By moving from fragmented media buys to a fully integrated data-driven approach, Reckitt activated campaigns across 19 retail partners, resulting in sevenfold increase in retail media-driven sales and a fivefold boost in campaign activity, both while tripling its ROAS. With the structured inventory, flexible format, and real-time optimization, VTEX Ads enabled Reckitt to align media, data, and operations, establishing a scalable high-impact retail media engine across the region. Now to wrap up before passing the floor to Ricardo, I would like to take a moment to recognize the dedication of our 1,283 VTEXers whose talent and commitment are instrumental in bringing our vision to life. I also want to extend my sincere gratitude to our customers, partners, and investors for their continued trust and collaboration. With that, I will hand the call over to Ricardo.
Ricardo Camatta Sodre: Thank you, Geraldo. Hi, everyone. I'm pleased to share with you VTEX's Q2 2025 financial results. In the second quarter of 2025, GMV reached $4.8 billion, growing 9% year-over-year in U.S. dollars and 14% on an FX-neutral basis. This led to subscription revenue reaching $57.2 million compared to $54.0 million in Q2 of last year, a 6% increase in U.S. dollars and 11% on an FX-neutral basis. As mentioned by Geraldo, subscription revenue for the quarter came in within guidance in U.S. dollars, but below on FX-neutral basis. From a GMV perspective, that's driven primarily by a reversal in Q2 of the recovery trend we started to see in Q1 in Argentina. From a subscription revenue perspective, we also saw a mix shift in Brazil with new and larger customers gaining representation. Although these customers have lower implied take rates that represented a more limited contribution to our revenue growth in Q2, our scalable model results in similar margins, which is clearly demonstrated by our gross margin improvements. While this challenging market environment introduced short-term headwinds, it also underscores the strength and resilience of our business model. Designed for scalability and efficiency, our model allows us to navigate volatility while protecting operational profitability. We have maintained a disciplined execution while continuing to invest strategically in our platform and global expansion. This balanced approach drove meaningful margin expansion and further validated the operating leverage embedded in our model. Reflecting these dynamics, our non-GAAP subscription gross margin reached 80% in Q2 2025, up 180 basis points year-over-year from 78% in Q2 2024. This expansion continues to be driven primarily by gains in customer support efficiency, where we are further scaling AI-powered automation to improve service quality while reducing support costs. This trend reinforces our commitment to operational excellence and position us to sustain strong margin performance over the long term. Our total gross margin, which includes services, rose to 77%, up 350 basis points year-over-year compared to 74% in Q2 2024. Aside from the subscription gross margin gains, which I just described, our overall gross margin also keeps benefiting from a declining mix of services revenue as we increasingly leverage our ecosystem of partners to support implementation projects. Turning to expenses. As I mentioned before, we remain firmly committed to disciplined management while allocating capital strategically to support long-term growth and innovation. In Q2, non-GAAP operating expenses totaled $37.0 million, representing a 4% increase year-over-year. This quarter, we had flattish G&A and sales and marketing expenses, contributing to a 2 percentage point year-over-year reduction in their combined weight as a percentage of total revenue. This efficiency created additional room to support our continued investments in R&D, focused on expanding and enhancing our platform capabilities. This balance between discipline and strategic investments continues to deliver results. Non-GAAP income from operations reached $8.5 million, up from $6.3 million in Q2 2024, representing an increase of 35% in U.S. dollars. This drove a 3 percentage points year-over-year margin expansion, resulting in a 14% non-GAAP operating margin for the quarter. VTEX's results underscores our commitment to profitable growth and reflect the positive trajectory of our financial model, even in a more complex and volatile business environment. Our financial discipline also translates into strong cash generation, reinforcing the efficiency and resiliency of our cash conversion profile. Free cash flow for the quarter was $7.1 million, up from $3.0 million in the same quarter of last year, resulting in a free cash flow margin of 12%, an improvement of 7 percentage points year-over-year. On a year-to-date basis, free cash flow was $13.8 million, remaining very aligned with our year-to-date non-GAAP income from operations. In this light, disciplined capital allocation remains a key priority as we focus on delivering long-term value to our shareholders. This quarter, we concluded the share repurchase program authorized by our Board of Directors in December 2024, executed as part of our broader capital allocation strategy to maximize shareholder returns. In Q2, we repurchased 0.8 million shares at an average price of $4.82 per share. Considering the current and the previous year's share repurchase activities, total shares repurchased reached $16.0 million with an average price of $4.86 per share and a total cost of $78.2 million. On July 31, 2025, our Board of Directors authorized an additional share repurchase program for an aggregate consideration of up to $40 million. As we look ahead, we continue to navigate a challenging market environment. The volatility observed in Q2, particularly the reversal of recovery in Argentina and the mix shift in Brazil, alongside isolated contract cancellations and slower decision-making cycles among retailers and brands, has introduced additional impact into near-term revenue forecast. Nevertheless, we remain confident in our competitive positioning, our global expansion strategy, and the resilience of our business model. With a focus on innovation, efficiency, and scalability, VTEX is well-positioned to capture the long-term trends shaping global commerce. With that in mind, for the third quarter of 2025, we are targeting FX-neutral year-over-year subscription revenue growth in the range of 6% to 9%, implying a range of $57.5 million to $59.0. For the full year 2025, we are now targeting FX-neutral year-over-year subscription revenue growth of 9% to 12%, implying a range of $233 million to $239 million based on July's average FX rate. Turning to our margin outlook. Backed by disciplined cost and expense management and ongoing operational efficiencies, we are raising our full-year 2025 outlook for non-GAAP income from operations and free cash flow margins to the high teens, reflecting the strength of our execution and the scalability of our platform. With that, although we are reviewing our subscription revenue forecast by 2% in U.S. dollars, we are increasing our non-GAAP income from operations and free cash flow in dollar amounts by more than 10%. To conclude, our Q2 performance reinforces the resilience of our business model, disciplined execution, and long-term growth foundation. We are particularly encouraged by the relevant progress in the U.S. and Europe and the attractive long-term opportunity in B2B and retail media. Despite a challenging market, VTEX remains well-positioned with a globally competitive platform, a clear strategy, and an increasing relevance among global enterprise brands. With that, let's open it up for questions now. Thank you.
Operator: [Operator Instructions] All right. It looks like our first question today comes from the line of Marcelo Santos with JPMorgan.
Marcelo Peev dos Santos: I have 2, both regarding the guidance. So could you please discuss the decline in the guidance in terms of GMV and new subscriptions sold? Like I'm just trying to break down how much is the growth in GMV of your clients, the variable component of your revenues? And how much would that be due to a longer time to close new contracts and to bring new clients in? And the second, in the margin -- increased margin expectations, could you please discuss more in detail which are the lines that are scaling the most or yielding most benefit that give you confidence that this increased margin will come?
Ricardo Camatta Sodre: Thanks, Marcelo. Let me walk you through the context behind our Q3 guidance and the full-year outlook. So our Q3 and fiscal year 2025 guidance reflects a couple of factors we are closely monitoring, as you mentioned in your question. So the first factor is the GMV performance of our existing customers, a variable that we have limited control over. So starting with our customer base in Argentina, after signs of recovery in Q1, Q2 reversed back to negative double-digit GMV year-over-year FX-neutral growth, prompting the change in our outlook. And moving to Brazil, we are seeing a continued mix shift towards larger enterprise customers. This is strategically positive, but with softer near-term revenue conversion due to the lower implied take rate, although we're still attractive margins. And it's important to note that while we don't control, we can't always predict the GMV performance of our existing customers, we are increasing our efforts to work more closely with them, supporting the execution of their strategies and unlocking additional growth opportunities through the platform. The second factor driving a significantly smaller impact is that we are also seeing softer overall market migrations and a view isolated contract cancellations tied to high-risk implementations. While some of these projects may still come through, we excluded them from our near-term forecast given what we see as the most likely scenario. And it's important to mention that although we see some isolated cancellations, the most strategic projects we have under implementation remain on track. So all in, these dynamics drove a 5 percentage point revision in our FX-neutral subscription growth guidance for the year and equivalent to a 2% U.S. dollar revenue adjustment at the midpoint of our guidance. And as I said, the large majority of the FX-neutral impact comes from the Argentina and Brazil GMV effect, with a much smaller portion coming from the softer overall market demand and the few isolated contract cancellations. That said, we expect some acceleration in Q4, supported by easier comps and continued traction in the U.S. and Europe. And then with that, on the profitability side, which is also part of our guidance, our updated guidance highlights the strength of the model. Despite reducing 2025 revenue guidance by 2% in U.S. dollars in the midpoint, we raised our full-year non-GAAP operating income and free cash flow margin outlook by over 10% in dollar amount. So this speaks to the durability of our platform, the disciplined execution, and our ability to deliver profitable growth even in more complex conditions. And on where the margin improvement is coming, Marcelo, Year-to-date, our non-GAAP operating income margin is up approximately 4 percentage points versus last year, driven by gains in the AI support automation, more autonomous implementations, and the ecosystem maturity. So a lot of it coming from the gross margin side. On the expense side, despite investing more in R&D, G&A, and sales and marketing are flat year-over-year in absolute terms. And the latter, sales and marketing, had some headcount reduction in the first half of the year that should show some savings in the second half of the year. And for context, like we ended 2024 with 13% non-GAAP operating margin. And that, combined with what I just mentioned, position us on track to reach high-teen margins for 2025. supporting our decision to raise the full-year operating income and free cash flow margin guidance as we did. So this margin expansion not only boost the profitability, but also creates room to invest in high-impact R&D areas like B2B, retail media, and commerce, like Geraldo mentioned in the prepared remarks. So it's a clear validation of our ability to scale with discipline and drive long-term shareholder value.
Operator: And our next question comes from the line of Luca Brendim with Bank of America.
Lucca R. Brendim: I also have 2 here. Following on the similar line to Marcelo, on the larger clients on the U.S. that you -- and Europe that you mentioned would be coming in, in the next few quarters. Were there any changes in terms of when those will be coming live, maybe a delay? And if that was implicit in the guidance in some way? Or when we're talking about those clients, we should expect something similar, and if the isolated cancellations were also in one of those clients? And then a second, more on a structural level, if you guys are seeing any changes in terms of competition in any particular region with the new competitors that are growing in LatAm, or if you continue to see similar trends overall?
Geraldo do Carmo Thomaz: Okay. Thank you for the question. On the implementation cycle, we are not seeing any change, significant change. Despite the macro volatility, the project is undergoing, we don't see any kind of shortening or enlargement of the implementation cycle. Of course, we are signing more enterprise deals in U.S. and Europe, and it's growing twice as the LatAm business. And the Tier 1 clients have a larger implementation cycle, but it's already in the guidance. On the competition, we are seeing traction in our international strategic markets, means U.S. and Europe. So the highlights growing momentum is our global expansion confirms that our platform is resonating in more mature competitive regions. A key milestone that makes the point on that was the launch of KitchenAid, e-commerce website in the United States. Whirlpool has been a longtime VTEX partner, but this marks their first implementation with us in the U.S., a strong validation of our platform. We are very focused on making KitchenAid a customer success and turning this into a reference implementation. Alongside it, we are also bringing online large-scale customers with billions in annual GMV, which should further boost momentum and credibility. In Europe, we had several go-lives this quarter and continue progressing towards the highly anticipated Manchester City Football Club project. These milestones reflect our rising strategic relevance in the region. Across both regions, contracting signing momentum is solid. The pipeline is growing. And while we made significant strides, we're still just getting started in those regions. To finish, VTEX's position as a complete and composable platform is maturing and matching the demand of enterprise B2C and B2B platforms in the U.S. and EMEA. I hope I answered the question.
Operator: [Operator Instructions] It appears there is another caller, and that is Maria Infantozzi with Itaú.
Maria Clara Infantozzi: I have 2 questions. The first one related to Argentina. Can you give us more color on the main drivers for the deterioration in the operating momentum of the region? Can you please comment on how you perceive the competitive landscape evolving in the region? And also regarding Brazil, I just wanted to ask you guys to tell us how you calibrate for a potential consumption deceleration in Brazil in the second half of the year in your current guidance, please?
Ricardo Camatta Sodre: Maria, as a reminder, we don't disclose regional performance on a quarterly basis. We disclose annually, but I can give directionally commentary for what we are seeing in Argentina. And then once we have the full year release, we can go into more details. So Argentina was a significant drag this quarter. As I mentioned in the prepared remarks, in Q1, we saw promising signs of GMV growth recovery from our customer base in Argentina. To give you a sense, the GMV FX-neutral year-over-year growth started Q1 in the double-digit negative range and exited in the high single-digit positive range by March. So we expected that trend to at least keep stable in Q2. But instead, the recovery reversed for our customer base and GMV growth fell back to the double-digit negative territory in Q2. And given that there is the hot sales event in May, Argentina has a heavier weight in Q2. So this reversal had a meaningful impact for us. So Argentina remains a volatile market. Now we still remain focused on the long-term opportunity of gaining share, supporting our customers, and driving additional adoption. And we weathered volatility in the region before and emerged stronger by staying close to our customer base. and executing with discipline. So on the overall competitive landscape in the market, looking at other digital commerce platforms, we don't see any changes specifically in Argentina on the competitive landscape. And then Maria, if you could repeat on your second question, please?
Maria Clara Infantozzi: Just regarding the operating trends in Brazil for the second half of the year, I just wanted to make sure how do you calibrate your expectations for a potential deceleration of consumption in the second half of this year?
Ricardo Camatta Sodre: Perfect. Perfect. Yes. Great question. So in Brazil, we did see some same-store sales deceleration in although the total GMV FX- neutral growth in Brazil was in the low 20s and pretty stable versus Q1 because we have new customers joining. But we had that mix shift towards new and larger enterprise customers with lower implied take rates that I mentioned on the prepared remarks. So we are assuming a deceleration in the second half, given how we saw the same-store sales deceleration in the second half of the year. Now there's a lot of moving pieces here with the interest rates and FX, and other political and macroeconomic points, right? So it's hard for us to forecast the GMV of our customers, but we are embedding in the guidance some deceleration in the second half of the year for Brazil, given for how long the interest rates have been high in the country.
Maria Clara Infantozzi: And how does this compare with the fourth quarter results of the past year? Sorry, just this follow-up.
Ricardo Camatta Sodre: Yes. So we saw a deceleration of same-store sales in Q4 of last year. I would say that Q1 was more aligned. We saw more deceleration in Q2. And so we are embedding that to the second half of the year as well.
Operator: And our final question today comes from the line of Gustavo [indiscernible].
Unidentified Analyst: I'll stick to one. So the company has been very vocal about B2B, during VTEX Day and retail media as well in most recent one. Considering this recent market volatility, if you could comment on if and how anything has changed in the strategy and the pace of the rollout of those solutions with clients?
Geraldo do Carmo Thomaz: So all these 2 initiatives, they're not on macroeconomics in my perspective, there's no big structural change in the market. Actually, if there is a structural change in the market, it will be to reinforce the value proposition of both these initiatives. As you know, like retail media is key for any retailer to be sustainable and profitable during the new phase of commerce, like you need to monetize your personal inventory, you need to monetize your data, your proprietary data and especially like if you consider the current macroeconomic conditions, this is a must-have for all the retailers across the globe, including retailers. On B2B, this is a trend that we're seeing like people did spend some investment like years ago, 10 years ago in B2B in the U.S. and Europe. Now they're open to renew because legacy solutions. And we're seeing in Brazil, like people wanting to have self-service portal, serving the customer through the digital channel. And this is a secular trend. It's not related to the conjuncture. So the strategy is the same. All these macroeconomic shifts are not informing any new actions on these 2 ventures.
Operator: And that does conclude our Q&A session today. I will now turn the call back over to Geraldo Thomaz for closing remarks. Geraldo?
Geraldo do Carmo Thomaz: Thank you for the great questions. Before we close, I wanted to leave you with the confidence we have in VTEX's directions and long-term vision. Our bold product paths like B2B and retail media are redefining how enterprises operate and monetize, while agentic commerce is bringing AI-powered autonomy into the present. These innovations aren't incremental. They're foundational shifts designed to meet the real-world needs of global brands. We're also seeing that vision translates into results. We are making relevant progress in the U.S. and Europe, and we're just scratching the surface of the opportunity. With a growing base of high-quality customers and a platform built to scale, our long-term outlook is strong. We're more committed than ever to delivering enduring value to our customers, partners, and shareholders. Thank you for your continued trust. We look forward to the road ahead. The best of VTEX is still to come. Thank you for your continued support and partnership. We look forward to sharing more progress with you in the coming quarters. Thank you for joining us today. Have a great day.